Operator: Greetings and welcome to the Uranium Resources, Inc. Fourth Quarter and Year-End 2012 Update. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. (Operator Instructions) As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Deborah Pawlowski, Investor Relations for Uranium Resources, Inc. Thank you, Ms. Pawlowski. You may begin.
Deborah Pawlowski: Thank you, Kevin, and good morning everyone. We appreciate your time today and your interest in Uranium Resources. After formal remarks we will open the call for the questions-and-answers and I want to make sure that you do have this morning’s news release which is found on our website at www.uraniumresources.com. As you are aware, we may make some forward-looking statements during the formal presentation and Q&A portion of this teleconference. Those statements apply to future events, which are subject to risks and uncertainties, as well as other factors that could cause the actual results to differ materially from where we are today. These factors are outlined in the news release, as well as in documents filed by the company with Securities and Exchange Commission. You can find those on our website where we regularly post information about the company as well as on the SEC's website at sec.gov. So please review our forward-looking statements in conjunction with these precautionary factors. With that, I would like to turn the call over to Terence to begin the discussion. Terence?
Terence Cryan: Thank you, Debby, and good morning everyone. We appreciate your time today. Let's start today's call with the exciting news regarding our recently announced appointment of Christopher Jones as the next President and CEO of URI. While the CEO search process took a bit longer than anticipated, we wanted to be delivered and thorough in our search for the right permanent CEO for the company. The next few years will prove to be a critical time for URI and its imperative we have the right person to lead the company during this time. With Chris’ wealth of experience ranging from exploration and development projects, mining and production operations, we believe we found the ideal leader for URI going forward. Transition activities are already underway and advance of Chris assuming his responsibilities on April 1st. With that, I would like to turn the call over to Chris Jones and give him the opportunity to introduce himself. Chris?
Christopher Jones: Thank you, Terence. I am very excited to join Uranium Resources. Over my 30 years in the mining industry, I have had the opportunity to work for a number of companies expanding their resource base and developing projects from exploration to production. Given my experience in the current position of the company, the decision to join Uranium Resources was an easy one and a natural fit for me. The nuclear power industry is on the verge of experiencing a significant resurgence as many emerging economies look for low carbon power generation to fuel their growth. And URI is uniquely positioned as a leading US uranium development company capitalized on this expansion. I look forward to leading URI as we strive to advance our Churchrock Section 8 project and position the company for a return to production in Texas. With that, I would like to pass the call back to Terence.
Terence Cryan: Thank you, Chris. The uranium industry in 2012 much like 2011 remained depressed as uncertainty dominated the uranium pricing environment. However, there were a number of positive macro-oriented developments. On the demand side, electricity generated from nuclear power increased by 2.7 gigawatts in 2012 when compared with 2011 as 437 nuclear reactors were online, two more than in the previous year. Construction began on seven new reactors in 2012 in expanding countries such as China, Russia, South Korea and the UAE. In 2013 it's expected that approximately 60 reactors will be under construction worldwide with 26 of them being in China which have now also lifted it's temporary moratorium on new reactor construction towards the end of 2012. While the new reactor construction is positive, there remain overhangs on the market including the phase-out of nuclear power in Germany, uncertainty in Japan and the concern of excess inventories being sold. In the short-term, Japan remains a key driver of uranium industry as they were previously responsible for 10% of global uranium demand. Starting in the latter part of 2012, we began to see some positive developments there in both the regulatory and political front which bodes well for potential future reactor restarts. As regards to uranium supply outlook, the exploration of the Russian HEU agreement at the end of 2013, and the deferral of the number of mine development projects and expansions during 2012 is expected to significantly decrease the supply of uranium in the market which is needed to satisfy the increasing demand. URI remains optimistic that the perspective overall nuclear industry demand-supply dynamics will provide an environment which makes uranium production economic for us in the intermediate and longer-term. With that, I would like to go through our recent progress in near-term initiatives. Looking at New Mexico, we had a number of accomplishments. In August, we completed a stock-for-stock transaction which we acquired 100% ownership in Neutron Energy, Inc. This acquisition was a significant consolidation of uranium properties in New Mexico positions us as one of the largest U.S. based uranium development companies. Our asset base in New Mexico increased by more than 50% to 152.9 million pounds of in-place mineralized uranium material. Churchrock remains one of our primary strategic initiatives and in the fourth quarter we released two studies that substantiated the financial and environmental viability of our Section 8 property. A feasibility study identified in-situ recovery or ISR as the preferred method for Uranium extraction which with the assumed recovery rate of 67% result in production of approximately 4.4 million pounds over the projected six year production life. Preproduction development costs are estimated at $35 million with direct operating cost estimated to be $20 to $23 per pound of uranium produced. It was important to us to not only substantiate the economics of project but also the environment of viability of the project, so in that regard a collaborative groundwater study which included the Navajo Nation and the City of Gallup was completed. The study was used to determine environmental impact of ISR mining at Churchrock Section 8. The findings of the study substantiated our belief that ISR mining is safe, environmentally friendly way to extract uranium that would not affect existing Gallup, Fort Wingate, Rehoboth, Navajo Nation water wells. In July, we completed an agreement with the Navajo Nation allowing temporary access to our Churchrock properties and regulatory visits and to support license or permit requirements. We started this agreement, we (inaudible) remediation of any radioactive contamination on Sections 17 or 8 prior to commencing ISR on Section 8, and we are currently working with the third-party consultant approved by both URI and the Navajo Nation on our remediation project assessment aimed to be completed in the mid-year 2013. While this access agreement with the Navajo represents significant progress, it is a first step in addressing the legacy issues left by previous uranium mining operators. Earlier this year, we achieved an important milestone with the resolution passed by the Churchrock chapter of the Navajo Nation in which they expressed their support for our proposal for a modular project on Section 8 while at the same time conducting remediation on Section 17. Additionally, the Churchrock chapter has requested the Navajo Nation allow us full access to our properties to conduct these activities. To achieve this objective, we remain focused on building our relationship with the Navajo Nation and completing a mutually beneficial comprehensive access agreement. We are also working to improve the project economics with ongoing discussions with the royalty holders. Shifting to Texas, our priorities have been and will continue to be our groundwater restoration activities, the joint exploration program with Cameco and our (inaudible) restoration project. Last year, we completed Phase II of Los Finados our joint venture exploration project with Cameco. While there were no significant findings, we remain encouraged by the geologic opportunities that exist in the area. This was the basis for our exploration and extension of both our lease agreement in Kennedy County, Texas and our joint venture agreement with Cameco. In December 2012, both agreements were extended from three years to five and expanded to now include an additional 22,700 acres known as the Tecolote project. Cameco has committed $4.3 million to increase their interest in the project to 70% and they will begin exploration operator for Phase III. The initial groundwork of Phase III has begun and we expect drilling on Tecolote to commence in the second quarter of 2013. Our exploration program with Cameco remains a priority and we will also be exploring other opportunities to expand our asset base in the region, so as to be well positioned to resume production as conditions improve. As we stated last quarter, groundwater restoration has been completed and is currently being monitored for stability at two production areas at Kingsville Dome and two at Rosita. Final closure of these areas is targeted by year end. Restoration activities are continuing at three other production areas and two projects, the stabilization targeted will also be completed by the end of 2013. We are also in the midst of refurbishing our Kingsville Dome holding ponds which we aim to complete that project by the end of this year. We are recovering some uranium as a byproduct to these restoration activities and anticipating realizing revenue from those activities which will help offset project costs beginning in the second quarter of 2013. One of the key initiatives we laid out at the beginning of the fourth quarter 2012 was to reduce our cost structure and contain costs, minimizing our cash burn to only that needed to achieve our priorities. This initiative is progressing well and combined with our recent recapitalization efforts, we expect to be adequately funded to address our near-term objectives. With that, I would like to hand the call over to our Chief Financial Officer, Tom Ehrlich, who will discuss our liquidity position. Tom?
Tom Ehrlich: Thanks, Terry. In terms of our liquidity, our cash position at December 31, 2012 was $4.7 million. That compares to $2.9 million at the end of 2011. During 2012, the company raised net proceeds of $5.4 million under the existing after market sales agreement with approximately $900,000 of that coming in the fourth quarter. At February 28 of this year, we had a total of $9 million of share value that will remain available for future sales under that ATM. During the 12 months of activity of last year, our cash used in operations totaled about $14.9 million and we used $8.5 million of cash for investing activities, a large portion of which was used to fund the Neutron’s budget in connection with our merger agreement. As Terry mentioned, the company was recently recapitalized. Our shareholder rights offering raised to just under $9 million of which $5 million we used to pay the bridge loan provided by Resource Capital Fund. Additionally, with our securing new surety bonds for South Texas properties, this activity will result in $4.5 million being released back to the company. To-date, we’ve made significant progress but we remain focus throughout the year on cost reductions and the preservation capital. Earlier this year, specifically on January 23, we completed a one for 10, reverse stock split with the intangible (inaudible) in compliance with the NASDAQ’s $1 minimum bid price requirement. We were notified by NASDAQ that our stock was in full compliance with their listing requirements which allows us to remain fully traded and compliant with the NASDAQ rules. Terry, back to you.
Terence Cryan: Thank you. Operator with that I think we would like to open it up for questions.
Operator: Thank you. We will now begin a question-and-answer session. (Operator Instructions) Our first question is coming from Peter Homans from (inaudible). Please proceed with your question.
Unidentified Analyst : The sort of obvious giant elephant question in the room is to develop Churchrock for example, you need $30 million to $35 million in capital and obviously even though you have done a great job of fending off the wolves with the rights offering and investments from resource funding etcetera, you are not going to generate that capital yourselves, you do have a exclusive joint venture partnership with Cameco with whom you have a very long-term, at least the principal of the company that can have a very long-term relationship and they are providing funding in Texas. So the obvious sort of, what's the next big thing question is how do you fund Churchrock and 150 million pounds that you have and perhaps help the Navajo develop the 75 million pounds they have and the only answer that I can come up with and obviously you can't make specific comments but can you speak generally to the notion of beyond deoing short-term funding etcetera. Isn't it reasonable to assume that the funding for development of Churchrock and all of your other operations, potential operations in New Mexico including processing facility etcetera would have to come from either a large joint venture partner or an acquirer with deep pockets who has an interest in the fact that you have an NRC license, your resources are all in modestly safe, United States etcetera. So whatever you can say with respect to that Cameco, anybody who might be out there it just seems to me that you have to have money to develop. You don't have it generated internally so what might, what is that variety of scenarios that you might be envisioning?
Terence Cryan: Sure, I appreciate your question, thank you. I think as we look at our potential opportunity in New Mexico and we have always taken the view that the first pound of uranium that be produced in the Mexico, it’s the most important and the most valuable pound and so as we look at our Churchrock Section 8 Project, while you are correct within the feasibility study which calls for start up in the first year with a production target of 1 million pounds, there would be significant amounts of capital required. Understanding how challenging the current capital market environment is, we have been looking at alternatives to that and I made a reference earlier to the idea of a more modular startup which would allow us to bring Churchrock Section 8 on with a much lower upfront capital cost, something that I think would be much more viable to finance in the current environment. Now in addition to that you are quite right that going forward from there, we need to be open to the prospect of arrangements whether they be joint venture arrangements or otherwise with other companies that might provide us with the capital we need going forward. I can’t comment more specifically than that but I think...
Unidentified Analyst : I understand why it makes sense.
Terence Cryan: ...are open to those sorts of arrangements, our relationship with Cameco in South Texas I think is a good example of that. But I think as we move forward and we demonstrate that uranium production in New Mexico is possible, I think the availability of capital will improve significantly.
Unidentified Analyst : I think that's right and I was wondering if I can ask one other question and make one observation.
Terence Cryan: Sure.
Unidentified Analyst: The other question is I have been a follower and supporter of the company for I don't know six, seven bunch of years, and know a number of the consultants of the business and there is some question as to the Neutron acquisition of 50 million pounds, how much of that will in fact be developable. So its sort of a double question, how much of that 50 million pounds do you think is recoverable and then sort of within that acreage and your overall New Mexico acreage what percentage is in-situ amenable which you must have looked at during your feasibility study versus traditional mining which is more capital intensive and possibly more environmentally sticky with your neighbors.
Terence Cryan: Sure. I think as we look at Neutron as an acquisition that provided us with a better balance between ISR and conventional assets, a good balance between more near term opportunities like Churchrock and more mid to long term opportunities that will be more suitable for conventional mining. I think we feel very positive about how that positions us going forward, and also note that all of the assets we acquired with Neutron are on target lands and it can sort of mitigate the exposure that we have between Indian land and private land going forward. We think the Neutron assets are going to be very valuable in years to come. Obviously conventional assets will become more interesting as the price environment improves, but we do think long-term, we’re going to look back and achieve the Neutron acquisition as being a very attractive one.
Unidentified Analyst: Then the last question would be brain work. In terms of your negotiations with Navajo which for 10 years have been contentious to the Max and Don, before you and now you guys are doing what seems to be an excellent job, convincing this cash strapped nation that they have a resource that if mined safely could provide them with enormous funds. Where are you in those negotiations? You said that Churchrock chapter of the nation is, has published a document or made a statement of some length in support of development, which I’ll assume would include development of their own resources, and I wonder if you had been able to take representatives of the nation not just of the Churchrock chapter but the chief of the nation and other people who might be more skeptical. Have you been able to take them yet or do you plan to take them to either your or Cameco in-situ facilities to demonstrate safety, and how is that going? It strikes me that if you have a bunch of uranium in the soil; your water is already polluted. If you take the uranium out, you can’t possibly be make, I mean just sure it seems to me that a lot depends on really finally resolving and becoming sort of friends of the Navajo and where are you in that regard?
Terence Cryan: Sure. Great question I think the amount of progress that we have made with the Navajo Nation in the last two years has been particularly noteworthy. The resolution that was passed by the Churchrock chapter at the Navajo Nation earlier this year by more than a two-thirds majority really was very, very important because it was a clear indication to the rest of the Navajo Nation that the residents in the Churchrock area are in favor of Uranium mining, they are in favor of ISR mining and they are in favor of (inaudible) specifically and I think that’s very, very important as we move forward to trying to put in place a permitted access agreement. We are working on a plan to just that. Not appropriate for me to get into the specific details of that at this point, but we would hope that as this year progresses we will be in a position to announce further meaningful progress towards that goal. And I think we would agree with you 100% that Uranium mining is potentially a very important economic issue for the Navajo Nation, it's an opportunity for a significant revenue and significant jobs; we want them to have a seat at the table alongside us, as we move forward to produce Uranium in the New Mexico. I think that’s a substantial departure from the approach that we have tried years ago and it seems to be yielding good results. So we are optimistic, we are working hard, and we hope we will have more good news to announce later this year.
Unidentified Analyst: Congratulations. And I presume that I didn’t get on the call right at the beginning. I presume I am speaking to the – is this Terry or. Congratulations on hiring a new CEO, but you’ve been doing a great job and thanks very much for your comments.
Operator: (Operator Instructions) Our next question is coming from [Larry Fields], a private investor. Please proceed with your question.
Unidentified Analyst: I would like to know what progress is been made renegotiating royalty agreements?
Terence Cryan: The royalty agreements, thank you are trying to use probably (inaudible) specifically toward Churchrock project and those agreements are certainly a drag on the economic viability of the project. And so we could complete our feasibility study on the project which we announced at the end of December. We really were not in a position to meaningfully move forward with discussions on those royalties with the royalty holders. We do have regular contact with those royalty holders, it is a negotiated process, most negotiations are best not done in public, but I would say to you, it is a priority for us, we would like to see movement on those royalties which would allow us to move forward with the Churchrock Section 8 assuming we reach a comprehensive agreement with the Navajo Nation. So this will remain a priority for us for 2013 and I think I will leave it at that.
Operator: With no further questions at this time, I would like to turn the floor back over to management for any further or closing comments.
Terence Cryan: As we progress to 2013, our strategies and priorities are clear. URI strategy is to create wealth for its shareholders by advancing its projects in a way which both conserves cash and that’s what positions the company to return to production when uranium market improves. The focus in Texas is to add reserves within its economic distance of each of our licensed ISR processing facilities through exploration and/or value accretive acquisition. In New Mexico URI will seek to progress our Churchrock Section 8 ISR project and also assess the potential of our significant resource based with development of larger scale projects on a standalone basis or with partners. Lastly it has been my privilege to lead URI these past six months. We have achieved a number of important objectives and I'm optimistic for the future under the leadership of Christopher Jones. Thank you all for your participation in today's call. We greatly appreciate your interest in URI. Good day.
Operator: Thank you. This does conclude today's teleconference. You may disconnect your lines and have a wonderful day. We thank you for your participation today.